Operator: Good day, and welcome to the Xtract One Technologies Fiscal 2025 First Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Chris Witty, Investor Relations Adviser. Please go ahead.
Chris Witty: Good morning, everyone and welcome to Xtract One's Fiscal First Quarter Conference Call. Joining me today is the company's CEO and Director, Peter Evans; and CFO, Karen Hersh. Today's earnings call will include a discussion about the state of the business, quarterly financial results and some of Xtract One's recent milestones, followed by a Q&A session. This call is being recorded and will be available on the company's website for replay purposes. Please see the presentation online that accompanies today's discussion. Before we begin, I would like to note that all dollars are Canadian unless otherwise specified and provide a brief disclaimer statement, as shown on Slide 2. Today's call contains supplementary financial measures. These measures do not have any standardized meanings prescribed under IFRS and therefore may not be comparable to similar measures presented by other reporting issuers. These supplementary financial measures are defined within the company's filed management's discussion and analysis. Today's call may also include forward-looking statements that are subject to risks and uncertainties, which may cause actual results, performance or developments to differ materially from those contained in the statements and are not guarantees of future performance of the company. No assurance can be given that any of the events anticipated by the forward-looking statements will prove to have been correct. Also some risks and uncertainties may be out of the control of the company. Today's call should be reviewed along with the company's interim condensed financial statements, management's discussion and analysis and earnings press release issued December 5, 2024, and available on the company's website and its SEDAR profile. And now it is my pleasure to introduce Peter Evans, Chief Executive Officer of Xtract One. Please go ahead, Peter.
Peter Evans: Thank you, Chris, and thank you to everyone on the call and welcome to the investors and analysts joining us today. Let's start by turning to Slide 4 to begin our presentation. It's just about six weeks ago that we reported solid results for our fourth quarter and our fiscal 2024 as a whole. Here, we are back again in just a few short weeks to kick off fiscal 2025. And I'm pleased to say that the outlook remains very positive as we discussed in that prior earnings release for 2025. The foundation that we built in 2024 sets us up for a very strong 2025 with a continued trajectory of growth as we've experienced in the past. We have a great deal of momentum, and we look forward to and are confident in end of the year of record setting results. But first, let's discuss Q1. We reported revenues of about $3.6 million, which was up from $3.1 million in fiscal 2024. First quarter revenue was as we expected, later than recent periods, primarily as a result of order timing and shipping timing for a number of our customers who had to delay for a sort of reasons. But the company continues to be well positioned for accelerated growth, the fundamentals are still in place, and the quarters to come are looking solid. I will discuss more on this in a moment. We've also had some new customer wins during the quarter, and we are building a backlog of Xtract One Gateway contracts. An example is the recently announced Tift County Schools District in Tifton, Georgia as 1 example. We've been executing selective in-region demonstrations of One Gateway to groups of schools, manufacturing companies and commercial properties, showcasing our new system. The feedback has been outstanding and better-than-expected with very strong interest and immediate request for quotes of the technology, and we're accordingly building a backlog of those orders. One Gateway has neared the end of its certification process, and we are now working through the manufacturing processes with the objective to begin shipping in mid-to-end of calendar Q1, as we had previously announced. We anticipate we will be up and running in the very near future and starting to ship and deliver against those backlog of orders. These opportunities on a whole are generally larger in size, and we expect that these deals will be implemented in a phased manner. Tift schools is an excellent example of how our customers adopt innovation in this phased approach with the district initially poling One Gateway's or set to deploy One Gateway's at the high schools, middle schools with further plans to then have them replace across all K-12 locations as soon as is practical. The installation will strengthen safety and security, while ensuring ease of entry for the students and staff in these types of environments and particularly schools. It's a great win for us and anyone associated with Tift County School District, which is home to about 11 schools, 8,000 students and over 1,000 teachers and staff members. I would also like to mention that the school board did a thorough evaluation of all the competing products on all the different approaches and solutions and concluded that ours provided the best and broadest capability without the unnecessary need for searches, x-ray machines or other complex operations. We believe and we are being validated in the marketplace that the One Gateway has set a new standard for school safety and allows students to focus on their education first. While Q1 was much lighter than we would have liked in terms of revenue and bookings. We've already started to see an increased activity in the marketplace for both the SmartGateway and the One Gateway solutions. Some contractual signings and deployment timings were delayed and some projects were pushed into the second quarter due to various reasons such as budgetary issues, resource issues or for example, 1 venue that was currently negotiating a new lease arrangement with the city. We remain on track for record setting performance in fiscal 2025, driven by strong top-line growth and a path to profitability. This reflects an increased interest in our solutions both the SmartGateway and the One Gateway. The year continues to look very bright for our systems and the company, in general, and I'm feeling very positive. Let's now turn to Slide #5. I'd like to provide some further color on the market dynamics and our expectations for the upcoming quarters. Our qualified pipeline of opportunities remains at record levels. We are looking at approximately CAD80 million spread across our four key segments, with about 60% of those deals upfront and about 40% subscription deals. These are highly qualified opportunities, as we've talked about and defined before, places that we're engaged with proposals, contractual red lines, demonstrations or other such activities. Of these, I'd say approximately CAD52 million are in the late stages of engagement, strengthening our outlook for fiscal 2025. Our pipeline has grown over 60% in the last year and is well diversified with customers of varying size, industry and geography which again positions the company for further expansion and improved operating performance and predicts a path towards cash flow neutrality. Let me also add a very important point that the nature of our deals is changing now that we've established ourselves as an innovative security leader in -- security systems leader in the marketplace. We're seeing much larger organizations, typical Fortune 100-type organizations for larger organizations, larger locations and multiple sites. As the market progresses, the customer base is moving from the early adopters to the early mass marketplace and the selling cycles and strategies for these accounts are different. In some cases, typically longer due to the added complexity and incremental amount of due diligence needed by these global or national organizations. That due diligence plays not only to them but to us as well. To win and service these larger customers requires a higher level of detail, focus and time. And the good news is our staff is hard at work winning such business, and which is why we are very, very confident about fiscal 2025 as a whole. With regard to the launch of the Xtract One Gateway product, as I mentioned a moment ago, things are progressing very well. I could not be happier. We've been actively providing demonstrations to schools and other organizations and the universal feedback at the end of almost every demo is get me a quote. A simple example, we recently did a demonstration in a school district that had previously bought a competitor's product. They invited four of the school districts and two other non-school manufacturing companies to attend. For those six entries are now in contract negotiations with us, and we are feeling very confident about the progress of that business. Suffice to say that One Gateway is launched to the perfect time, just as many schools were struggling with their prior deployments and the associated procedural complexities, as well as competitive uncertainties. And therefore, we feel that we are well-positioned to take advantage of this marketplace. As I stated a moment ago, Q1 results were lower than recent quarters, but in line with our expectations due to what we knew as timing and dynamics of a rather large sales. The rollout of our existing solutions and introduction of new systems and demand for broader capabilities is shifting some revenue into the back half of fiscal 2025. However we also saw some delayed summer decisions due to schools that were not yet in session, and other organizations were impacted by budget delays and other factors. It is often the case of the states make decisions earlier in the year, and we certainly see that we can serve those customers in the future quarters. Overall, we remain very optimistic about fiscal 2025. Due to the timing of board is now in the pipeline, we believe that the total contract value of new bookings in our second quarter as well as for the rest of the year will be much stronger than the first, keeping us on track for the same path of accelerated growth year-over-year. Make no mistake, Q1 is not indicative of fiscal 2025 as a whole and the detailed analysis that we're doing on the pipeline and every customer within them. We are betting on more larger systems than ever and are benefiting from the introduction of One Gateway and are now being considered as a smart alternative to other competitive products in the marketplace given recent events. We are executing an operating plan that puts us on track for our best year ever, and I'm very pleased to say we continue to make progress towards cash flow breakeven and profitability. It truly is an exciting time here, and best is still yet to come. At this point, I'm going to turn it over to Karen to provide more details on the specifics of our financial results. Karen?
Karen Hersh: Thanks Peter. Our Q1 revenue numbers were lighter than the prior quarter as the fundamentals of our business are still strong. As Peter previously noted, we are still on track for strong performance in fiscal 2025. Let us start by turning to Slide 7. Total revenue was approximately $3.6 million for the first quarter versus $3.1 million in the prior year period, representing an increase of 16%. About 65% of Q1 revenue came from upfront purchase contracts versus approximately 78% in the fourth quarter of fiscal 2024. In addition, from an end-market perspective, this revenue was spread across various markets with the largest contributor being education, which comprised about one-third of revenue in the quarter. The balance of revenue came from a mix of sports, live entertainment, health care and other market verticals. Going forward, we expect our revenue will continue to include customers from a variety of sectors as demand remains strong in each of our market verticals. As previously discussed, Q1 revenue, while up year-over-year, was negatively impacted by order timing, including some customer installation delays due to non-Xtract One's related reasons. We believe these are customer-specific factors rather than a systemic change within our industry. Market demand remains high for our SmartGateway product and many customers are currently considering the Xtract One Gateway as a preferred choice for their security systems going forward, which is resulting in an active sales pipeline that Peter referred to before, and bolsters our confidence in terms of our performance for the remainder of fiscal 2025. As we said on the fourth quarter conference call, we expect revenue this year to be somewhat back-end loaded as a result of our new product launch and larger, more complex bids currently in progress. We are also continuing to work with customers who are up for renewal following their initial contract terms and are pleased to see no churn thus far. That speaks volumes as to the commitment of our customers to protect their visitors and staff and we're proud of the fact that our customers have chosen to stay with Xtract One as their preferred security provider. Our gross profit margin was approximately 64% versus 67% in the prior year period primarily due to slight changes in product mix. We continue to anticipate strong stable markets in fiscal 2025 and as we continue to grow the company and leverage economies of scale by handle on overhead expenses and ongoing support costs, allowing for a very scalable business model as we continue to build top-line growth through the balance of fiscal 2025. Now turning to Slide 8. We continue to grow our contractual backlog and signed agreements pending installation. At the end of the quarter this collectively totaled around $27 million, a slight increase versus Q4 2024, reflecting net additions in the total contract value of new bookings signed this quarter partially offset by deployment during the quarter. Of this total backlog, the company's contractual backlog was $14 million with an additional $13 million worth of signed agreements pending installation, a large majority of which are expected to be installed within the next 12 months. Similar to revenue, our pending backlog is widely distributed between various market verticals. We anticipate bookings and backlog will grow during the remainder of fiscal 2025. Now let's turn to Slide 9, which shows first quarter operating costs year-over-year and sequentially versus Q4. Sales and marketing expenses were $1.7 million for the quarter versus approximately $1.5 million a year ago, largely reflecting continued investment in business development and other initiatives to a broader target group in order to accelerate top-line growth. Costs associated with R&D were $1.8 million for the quarter versus $1.7 million last year, while general and administrative expenses were $1.9 million for the quarter, up slightly from last year's $1.6 million primarily due to noncash related expenses. We continue to focus on bringing new and innovative products to market and ensuring that we have the people and technologies that are needed to support the growing business. Finally, on Slide 10, I will discuss operating cash flow. During the quarter, the company had a net operating cash outflow of $2 million compared to $1.3 million in Q4. And excluding changes in working capital, we spent approximately $1.9 million, which is about the same as the first quarter of last year. This use of cash is consistent with the lower revenue level in the quarter, but also reflects our continued investment and innovation in our future. It is been a conscious choice as we're committed to growing the business not just for the next quarter, but for the remainder of fiscal 2025 and beyond. We will continue to manage our cash burn, focusing on strategic spending and remain optimistic about the path to profitability and cash flow breakeven. In closing Peter and I are very positive about the outlook for the year ahead. With the new Xtract One Gateway receiving strong initial interest, our other markets growing and the demand for security systems expanding, the future for the company looks great in the quarters to come. We will as always, maintain a focus on growth, operating execution, reduction of cash burn and higher gross margins, which all laid the foundation for higher performance in the year ahead. With that, Peter and I welcome your questions that investors may have.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Adhir Kadve with Eight Capital. Please go ahead.
Adhir Kadve: Hi, good morning Peter and Karen. Thanks for taking my questions. I wanted to get a sense of some of the deal delays that you experienced in the quarter. And then when do you expect those to kind of hit the P&L? Is this a matter of one or two quarters? Or is it kind of something longer that's at play there? If you could comment on that, that would be great. Thank you.
Peter Evans: Yes, sure. Adhir, it is Peter here. Thank you for the question, and thank you for joining us as always. We – there is really nothing that is systemic here, it's just a handful of customers with a handful of unique situations. One customer that's negotiating their new lease and capital improvements on the arena, tap the brakes on some of the deployments. We had another customer who is going through an analysis of all their deployments in all of their different locations as Karen and I both alluded to, much larger customers, Fortune 100 types and as they work through the nuances of which buildings and what locations and what phases that just delayed the old process, large companies move slow. We don't expect these deals to go away. In fact, we're still in working with those organizations. We are still working through red lines, for example, on new contracts. So whether that occurs this quarter, we are going to push as hard as we can towards that. If it slips out a little bit, don't expect to in the majority of the cases.
Adhir Kadve: Okay. Great. And then maybe just talking about the back half of the year, where you expect revenue to kind of ramp up. Like, what's giving you the confidence? Is it just the broader pipeline from SmartGateway? Is it just kind of the building pipeline from One Gateway? Just speak to the confidence to the better bookings number expected as we go throughout the year and just the general confidence level?
Peter Evans: Yeah. Adhir, it is a great question. It's both the SmartGateway, as well as One Gateway response. Both have got strong interest. I'm very, very pleased with the interest in One Gateway. As I mentioned, we've done a number of demos in number cities since that announcement. We invite a large number of school boards there. And the overwhelming response is how quickly could we get a proposal. So that gives us a lot of confidence. And of course, with that product, it was beginning to shift towards the tail end of Q1 -- sorry, calendar Q1 fiscal -- in kind of fiscal Q2 for us that would start to move those orders into revenue, and we will start to see that towards the back end of the year for One Gateway. On SmartGateway, the demand continues to be strong. We go through our pipeline very, very rigorously line by line, item by item, customer by customer, contract by contract, location by location and having that deal -- that deep level of detail and visibility into each deal give us that confidence to know exactly what's going to fall in and what that year is going to look like. Now like I think there is always some customers who want to accelerate faster, there some customers who might delay for any one of the number of reasons that are beyond our control, but those are not a fundamental industry issue. It is kind of one-offs of those unique customers and what their timing is of budgets, timing is of hiring. We've got one deployment that's waiting on them to hire staff right now. So these kinds of things sometimes will cause small delays.
Adhir Kadve: Got it. Thanks guys. I will pass the line.
Operator: Our next question comes from Scott Buck from H.C. Wainwright. Please go ahead.
Scott Buck: Hi, good morning guys. Thank you for taking my question. Peter I was wonder if you could give us some color on how you're thinking about the impact of potential tariffs. Just how you view how that may unfold would be helpful.
Peter Evans: Well, Scott, if I knew the answer to that, I'd probably be in your job, not my job. It's -- I think the jury still out on what those tariffs will be or how they might impact the business. Right now, for us, we're just focused on business as usual. We haven't had any customers concerned about the delays. Our product shows great value, particularly when you see something like the One Gateway that's got a leapfrog value for customers. And nobody's really bought at the price, and I don't know that the tariffs are going to affect some of that decision-making right now. We really have to see how it comes out and if tariffs are put in a how much around what products.
Scott Buck : Great. Karen, go ahead.
Karen Hersh: I was just going to jump in as well that if we found that situation became unpalatable in terms of the tariff regime that was put in place. We could considerably move our operations to the left and sidestep that. So I think we've mentioned on previous calls that our product are generally more in assembly rather than a whole manufacturing, and we work with contract manufacturers that have the ability to move operations to the United States. So that's certainly something that we have -- we're not making a jump to it at this point, but it's certainly something that we could do if we found the situation tariffs was disruptive for our business. I just want to --.
Scott Buck: That’s very helpful. And then can you talk a little bit about the typical contract in one of the newer verticals, whether it's education or manufacturing? And maybe how that compares pricing-wise to what you are doing in the sports and entertainment world?
Peter Evans: Well, I think the major difference, quite frankly, Scott, is not so much in pricing because there is great value that we're delivering there. And we don't see a lot of requests for aggressive pricing or discounting. The only real difference that I see is that each vertical tends to have a bias towards either buying upfront or buying on a subscription basis. More often than not, we find that the schools are giving grant money, and that grant money is something they have to spend within the year. So the buys more towards upfront deals, whereas we saw the arena is more biased towards subscription deals because they were funding a lot of the benefits out of the savings and OpEx dollars for things like security staff. And so we're finding, if anything, with some of these deals, it's more not so much about price but more about bias to purchasing structure.
Scott Buck: Perfect, Peter. I appreciate that. And then last one, you guys mentioned renewals coming up. What are you seeing on pricing wise there? Are you able to adjust higher a bit or maintain? What does that look like?
Peter Evans: Well, it is a great question. Go ahead, Karen.
Karen Hersh: I was just going to say, I mean, we -- I mentioned in my section that we are seeing great renewals and support from our customers. What we are usually finding is that a customer is we probably had the product for about three years. We've made great improvement and continual improvements in our products since then. And so generally, what we're finding as this is just anecdotal that most customers prefer to return the equipment and then basically take new equipment, updated equipment and then lock in for another three years to four years through the subscription agreement. And we are very happy to do that. We fully amortized the product at that point. We are happy to give updated equipment to our customers and we love with a new full contract in place. And that seems to be the preferred option for most of our customers, given the improvements we've made over the years for the product.
Peter Evans: Yes. And adding to that, what we are seeing, Scott, is with each new iteration of the product, we are adding more value to the product, and in some cases is vertical specific feature capability that adds more value to that vertical market. So to answer the other part of your question, yes, the average deal size for systems is tending to go up with those renewals.
Scott Buck: Well, I appreciate the added color guys. Thank you very much.
Operator: The next question comes from Kevin Hsieh, Private Investor.
Unidentified Analyst: Peter, you mentioned a bit about being able to obtain a contract from a -- for a customer that was formerly a client of another business. That business has had recent setbacks, which may indicate some opportunities that exist for Xtract to acquire more business from that customer from the client. Can you provide any indication as to what you're seeing with regard to the opportunities that are coming from this upset that's going on to that customer -- sorry, to that competitor?
Peter Evans: Yes. I think, Kevin, first off, our focus is always on our business and doing the right thing by our customers. We think we've introduced One Gateway at a very opportune time, whether it was well planned or good luck, the fact that we've introduced at its time when many schools were going through the budgeting cycles at the tail end of the year or whether there is people who are reconsidering some of their existing investments and thinking about, is there a better opportunity. The value of One Gateway is one that we can actually deliver to schools whereby they don't have to do separate bag checks, don't need to have separate x-ray machines. And if there are situations where they are reconsidering a current deployment as the current vendor, then that's a good time for us to be introducing One Gateway.
Unidentified Analyst: Secondly, the thing that interests me is the potential comparisons of technology. You produce the paper called demystifying the technologies in which you talk about physics and how the physics is basically the same. If it is basically the same, how do you stand out? What is it that you're doing with the technology that makes you a preferred technology provider? And obviously, there is something going on with knives. I mean, obviously, you were able to obtain a lot more notification on detecting the knives where your competitors aren't -- what's the basic difference? I mean, especially the same -- what's the basic difference that gives you the opportunities to be better?
Peter Evans: Well, if you read that paper Kevin, then what you'd understand is a lot of it comes around architectural choices, okay? And there is architectural choices we made and the way we've designed our sensor technology that allows us to gather significantly more data, which we can then run through our AI algorithms to have much more efficacy in terms of detecting weapons while having lower false alerts. We believe that, that results in us being an and, not an or. We can detect the guns and the knives, and have fast throughput and have low false alert rates or very minimal false alert rates, versus other solutions, which we see as an or. In their cases, they can catch the guns or the knives. And if they catch the knives, well, you've got -- you now have a choice between catching knives or having low false alerts and fast throughput. So we see ourselves as and, not an or, and it comes down to the architectural choices and how we designed our sensor technology itself. Other than that, I'm going to start reaching into areas of intellectual property and competitive information that we really don't want out in the marketplace, Kevin.
Unidentified Analyst: And on the same note, talking about papers you've been pretty active in developing white papers over the last few months in a variety of different areas. One of them is And a question, the nature of are you providing any consulting services to your customers with regards to how they set up their security operations and -- how does that work if they got to installing the initial application and any follow-ons that go on? Any renewals or long-term contracts of that type?
Peter Evans: Well, like any technology, Kevin, I don't -- and doesn't really matter if it is us or it's point-of-sale terminals or it's a car. Effective use of that technology is a combination of people, process and technology. And for us to simply drop technology on the ground, you're going to run the risk that it will fail because people are not properly trained, you haven't set up the correctly. And we find even small differences in how the setup it goes in any different building can result in significantly higher results. You move the table over two feet and also, you get in five more people permit through the system, and it is a completely different guest experience. Every building is different and every door and every building can even be different. And so we've built up a level of expertise around -- by work with so many venues, doing so many demos, so many deployments that we really understand and almost have like that $0.06 around how do you set the for the most effectiveness. That's part of the value we deliver to our customers because we are more worried about their outcomes. And more importantly, our customers' customers are very, very happy. And so we make sure that we bring that expertise to the table so that they become very happy customers. They create repeat purchases, they renew, they buy more they roll out more phases. We see it as an investment in accelerated future growth, not only with the customers, but turning them into advocates to other customers to set them up properly. I don't envision setting this up as a separate stand-alone service organization. We think it is part of an integral end-to-end solution that we provide to our customers.
Operator: Our next question comes from Kurt Colmier, Private Investor. Please go ahead.
Unidentified Analyst: Good morning Peter. Thank you for taking my call. I'm a long-time investor, and I really think this is going somewhere. It's just a little frustrating with the stock price. But I was curious, are you guys going to start manufacturing your own units? Or is it basically out of house manufacturing?
Peter Evans: So that's a great question. And for clarity, we own the intellectual property, the design and industrial design of everything that we do. But for simplicity, there is lot of subcontract manufacturers, who essentially are more assembly organizations than actually manufacturing organizations. So we are subcontracting down that nonvalue-added component, which is the assembly of the technology. And right now, there is really not a lot of value add for us to do that ourselves. We get very effective rates for doing that work. Those organizations are set up to do that at massive scale. So if all of a sudden, we have a spike in demand, we can quickly ramp up and address that without having to build the infrastructure in place ourselves that may have to sit idle once we've ramped up for that spike in demand. So right now there is no plan to change or bring in-house the subcontract manufacturing.
Unidentified Analyst: Okay. Yes, I understand that. I was just curious Okay. And then the second one is, I think you guys are doing a great job. I'm just -- like I said, I'm a little frustrated. But I don't know how to say this, but is there a way that you could promote the company more? I mean, I know that you guys are doing a good job selling it to different vendors, sports arenas, schools, that kind of thing. But to get it out there in the public more, so we have more investors in buying stock and raising money that way.
Peter Evans: Well, we are always actively out in the marketplace, particularly with institutional investors. And we're out there just like this last 30 days, Karen and I were on the road, I think we meant somewhere in the range of about 30, 35 different institutional investors, and we are actively out promoting the stock in that way. We're trying to expand the mix so we have more institutional investors versus retail investors not that we don't like our retail investors. Frankly, I love the retail investors, they give me lots of good ideas and lots of good insights. But the idea here is to change the mix so that we can bring in many, many more institutional investors. They tend to be longer holders. They tend to create a lot more liquidity in the stock, and those are the kinds of things that we think will add value to the overall shareholders and shareholder value for the company.
Unidentified Analyst: All right. Well, thank you again for taking my call. And you guys have a great day.
Peter Evans: Thank you.
Operator: There are no further questions in the queue. This concludes our question-and-answer session. I would like to turn the conference back over to Peter Evans, CEO for any closing remarks.
Peter Evans: So my first comment is thank you, everyone again, for your continued support of Xtract One. We are in a good position. I feel very, very comfortable about where we are. I feel very, very comfortable about the customers that we're engaged with. And the fact that I would call our -- the people that we do business with not customers, but advocates. Our focus as a business has been to create a set of loyal individuals who love our solutions are advocating it out to many other organizations that they happen to know within their within their mix and their network. We've created that kind of a model. We've created that kind of a brand and one that we can be proud of. The business is looking good. The business is looking solid. We've seen a few blips in Q1, but that's really nothing that's systemic with the business. And we look forward to having a great fiscal 2025 and delivering great shareholder value to everyone who continues to participate with Xtract One. Thank you very much. Thank you to the team that continues to deliver great value at Xtract One and deliver those outcomes for our customers and those advocates.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.